Operator: Good day, ladies and gentlemen, and welcome to the EnerSys Second Quarter Fiscal Year 2015 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, John Craig, Chairman and CEO of EnerSys.
John D. Craig: Thank you, Noah. Good morning, and thank you for joining us this morning. Last night, we posted on our website, slides that we're going to reference during the call this morning. So if you didn't get a chance to see this information, you may want to go to our Investor Relations tab on our website at www.enersys.com. Now before we get into the details of our second quarter results, I'm going to ask Mike Schmidtlein, our Chief Financial Officer, to cover information regarding forward-looking statements. Mike?
Michael J. Schmidtlein: Thank you, John, and good morning to everyone. As a reminder, we will be presenting certain forward-looking statements on this call that are based on management's current expectations and are subject to uncertainties and changes in circumstances. Our actual results may differ materially from the forward-looking statements for a number of reasons. Our forward-looking statements are based on management's current views regarding future events and operating performance, and are applicable only as of the dates of such statements. For a list of factors which could affect our future results, including our earnings estimates, see forward-looking statements included in Item 2, Management's Discussion and Analysis of Financial Condition and Results of Operations set forth in our quarterly report on Form 10-Q for the fiscal quarter ended September 28, 2014, which was filed with the U.S. Securities and Exchange Commission. In addition, we will also be presenting certain non-GAAP financial measures. For an explanation of the differences between the comparable GAAP financial information and the non-GAAP information, please see our company's Form 8-K, which includes our press release dated November 5, 2014, which is located on our website at www.enersys.com. Now, let me turn it back to you, John.
John D. Craig: Thank you, Mike. If you would please refer to Slide 3 and you will notice that we reported second quarter results -- of 25.8% [ph] , adjusted operating earnings of $74 million, and adjusted earnings per share of $1.06, which exceeded our guidance of $1 to $1.04 per share. Our sales for the quarter were up 11% at $630 million, and year-over-year our earnings per share were up $0.19 or 22%. The results of our second quarter are even more impressive when you consider, first, our sales volume is normally lower in the second quarter compared to our first quarter due to summer vacation seasons in Europe and United States. Excluding the effects of foreign exchange, our sequential sales volume was up 1%. Second, year-over-year, our organic sales volume was up 7%. And third, we executed this record quarter in spite of one of our Americas telecommunications customers significantly lowering spending on batteries and enclosures. I now want to focus on our current business activities in third quarter guidance. Both our incoming order rates and order backlog remain strong. In motor power, the 3-month electric fork truck orders for July through September are up 13% globally, compared to the same period of last year. In reserve power, we continued to see sizable communication orders for replacement and 4G in our Europe, Middle East and African region. Global orders for our premium thin plate pure lead products continued to be strong and based on this information, our earnings per share guidance for the third quarter is between $1.04 to $1.08. Should we achieve the high end of our third quarter guidance, it will be a record earnings for any third quarter in the company's history. Our third quarter guidance does not include any increase of spending by the large telecommunication customer I referenced earlier. As we have said in the past, we view this reduced spending for batteries and enclosures to be a delay, and not a permanent reduction of spending. We continue to expand our customer base for our enclosure business, especially outside of the United States. And we are experienced significant growth in our quote activity for this business. We recently announced that our Board of Directors approved a quarterly dividend of $0.175 per share payable on December 26, and the authorization for an additional $60 million of stock buybacks. Thus far, in fiscal 2015, our Board of Directors authorized total stock buybacks of $214 million, of which $121 million has been purchased through the end of September. The strong earnings and cash flow performance of the company over the past several years has provided EnerSys with sufficient capital to meet our plans, as well as allow us to increase returns to investors through dividends and stock buybacks. In closing, I personally want to thank our employees for the excellent job they are doing, which has allowed us to achieve these results. And I want to thank our customers for their continued support. And now, I'll ask Mike Schmidtlein to provide further information on our results and guidance. Mike?
Michael J. Schmidtlein: Thanks, John. For those of you following along on our webcast, I am starting with Slide 4. Our second quarter net sales increased 11% over the prior year to $630 million from a 7% increase in organic volume and a 6% increase from acquisitions, plus a 2% decline in currency translation. On a regional basis, our second quarter net sales in the Americas were up 16% to $333 million, while Europe's increased 4% to $233 million, and Asia increased 10% in the second quarter to $63 million. In the Americas, 10% was from organic volume, 8% was from acquisitions, while pricing and currency translation declined by 1% each. Europe had a 6% increase in organic volume and a 1% increase in pricing, less 3% in currency translation. In Asia, organic volume was down 9%, while pricing was up 2% from walking away from lower margin business in China, and acquisitions contributed 17%. On a product line basis, net sales for motive power were up 9% to $314 million, while reserve power increased 13% to $316 million. Motive power had a 7% volume gain, 1% pricing gain, and a 3% gain from acquisitions, less 2% from currency translation. Reserve power attained 9% from acquisitions and 6% from organic volume, less 2% from currency translation and 1% from lower pricing. Please now refer to Slide 5. On a sequential quarterly basis, second quarter net sales were down 1% to the first quarter due to 2% lower currency translation, net of 1% volume growth. The Americas region was up 1%, and Asia was up 4%, while Europe decreased 4%. On a product line basis, motive power was down 3%, driven primarily by Europe, but reserve power was up 1%. Since our second quarter is usually our weakest sales quarter, it is not unusual for our second quarter sales to be down sequentially. Now a few comments about our adjusted consolidated earnings performance. As you know, we utilize certain non-GAAP measures in analyzing our company's operating performance, specifically excluding highlighted items. Accordingly, my following comments concerning operating earnings, and my later comments concerning diluted earnings per share exclude all highlighted items. Please refer to our company's Form 8-K, which includes our press release dated November 05, 2014, for details concerning these highlighted items. Please now turn to Slide 6. On a year-over-year quarterly basis, adjusted consolidated operating earnings increased approximately $10.4 million with the operating margin up 60 basis points. On a sequential basis, our second quarter operating earnings dollars were flat with margins improving 10 basis points. From a historical perspective, operating earnings reached a second quarter record 11.7% of sales. This increase from the prior year reflects primarily higher volume and lower commodity costs. Europe was the primary contributor for the improvement in the year-over-year, although, sequentially Europe declined slightly during their summer holiday season. Operating expenses, when excluding restructuring, legal settlements, due diligence costs and the acceleration of stock compensation, were at 14.1% for the second quarter, compared to 14.3% in the prior year. We would expect our full year operating expenses to remain near fiscal 2014's full year rate of 13.7%. Our Americas business segment achieved an operating earnings percentage of 12.9% versus 15.3% in the second quarter of last year, primarily, from the impact of lower pricing in our aerospace and defense sales and dilution from our recent enclosure business purchase. On a sequential basis, Americas second quarter increased 40 basis points from the 12.5% margin posted in the first quarter. Europe's operating earnings percentage of 11.2% remained above our target of 10%, and well above last year's second quarter of 6.8%, primarily from better volume, pricing and mix, and the impact of prior restructuring efforts. The operating earnings percentage in our Asia business improved in the second quarter of this year to 7.2% from 7.1% in the second quarter of last year, and from 5.9% in the prior quarter. Please move to Slide 7. As previously noted on Slide 6, our second quarter adjusted consolidated operating earnings of $73.6 million was an increase of 16% in comparison to the prior year, with the operating margin increasing 60 basis points to 11.7%. Excluded from our adjusted net earnings for the second quarter was approximately $4.7 million of highlighted net credits, the largest being the settlement of the Ultra G matter for an amount of $11.9 million net of tax -- below the initial ruling. Offsetting that credit were costs relating to restructuring and due diligence, and a noncash $5 million charge for stock compensation relating to the recognition of the accelerating vesting benefits or features of the plans for our CEO and Executive Vice President, now that their retirements are becoming more foreseeable. Please see our press release issued yesterday for details of these items. Our adjusted consolidated net earnings of $51.7 million increased 20% from the prior year to 8.2% of sales for a 60 basis points improvement, with the book tax rate remaining just below 27%. EPS increased 22% to $1.06 on higher net earning and lower shares outstanding. The lower average diluted shares resulted primarily from recent buybacks, less dilution from our convertible debt, which becomes diluted when our shares rise above $40.05. This convertible debt dilution added approximately 1.6 million shares net to our EPS calculation and decreased EPS by $0.04 in our quarter. We offset this convertible debt dilution by acquiring 1.2 million shares in fiscal 2014, and we have acquired $125 million worth of shares in fiscal 2015 to date through October, and have nearly $90 million still authorized. We expect our third quarter of fiscal 2015 to have approximately 47.75 million weighted average shares outstanding, which represents a meaningful decline from the previous quarter. We believe our tax rate for the third quarter of fiscal 2015 will be between 26% and 28%. And for the full year, we expect a 25% to 26% rate on our as-adjusted earnings. Please now turn to Slides 8 and 9. As usual, we have provided information on a year-to-date basis, similar to that of our second quarter on prior pages. These 2 pages are for your reference, and I don't intend to cover the year-to-date results. Please now turn to Slide 10. Now some brief comments about our financial position and cash flow. Our balance sheet remains very strong. We have $240 million of cash on hand -- $240 million on hand in cash and short-term investments as of September 28, 2014, with nearly $380 million undrawn from our committed credit lines around the world. We generated $90 million in adjusted cash from operations year-to-date in fiscal 2015. Our leverage ratio increased by 3/10 to 1.1x, due mainly to spending of over $137 million on share buybacks and dividends through the first half. Capital expenditures year-to-date were $28 million in fiscal 2015, compared to $25 million in fiscal 2014. Our increase in spending is attributable to our new plant in Gaoyou, China. We expect to generate adjusted diluted net earnings per share of between $1.04 and $1.08 in our third quarter of fiscal 2015, which excludes an expected net charge of $0.10 per share from our restructuring programs and acquisition activities. We anticipate our gross profit rate in our third fiscal quarter to be between 25% and 26%. In conclusion, we remain well-positioned to take advantage of future opportunities. Now let me turn the call back to John.
John D. Craig: Thanks, Mike. At this stage, I'd like to open the lines up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Gallo of CL King.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Question, John, on Purcell. Obviously, it's been below certainly where you thought it would be when you did the acquisition. Does anything change in your thinking or surprises beyond the delay in the customer? And then how dilutive is it in the quarter? I think, you would have expected it would have been accretive at this point.
John D. Craig: If you look at the 3 acquisitions in total, year-to-date, they're modestly accretive. And if you go back and you look at what we said when we bought these 3 acquisitions, that we should be in the zip code of $0.18 to $0.21 accretive for the full year, which we're not going to get that. Now let me go back, and I'm going to tell you when we buy a company -- Purcell, which is the big driver, at the time we looked at it, during our due diligence, we said, one major flaw that we see with this is that it's tied to very few customers, and it's mainly the United States telecommunications business is where all the business was coming from. This one major customer that we referred to earlier was about 50% or about half of the business with Purcell. That obviously, is a red flag. That was an issue when we bought it. At the time that we bought it though, what we said was, this is a gold mine to get this thing globally -- to get the thing overseas. Because at day one, we started quoting and had training for our sales people on how to sell enclosures. If you look today, our quote activity is north of a couple of hundred million dollars. It's very exciting what we're seeing happening there. But that's quote activity; it's not turned to orders yet. What's happened with it, with the one major customer going away, sorry, slowing up on spending, it has hurt our last few quarters, and it's going to hurt this fiscal year. We believe -- but we don't know factually, we believe that, that customer will start spending capital again, and we hope that happens in the near future, but we don't exactly when. We don't have inside information on them. But the strong point, the point I really want to emphasize is outside the United States. It takes 1 year to 1.5 years or 2 years to get approval with major telecom companies, but when you're sending out a couple of hundred million dollars in quote activity of new customers, I still believe, we're going to look back on this thing in a couple of years and say, "It was a great investment." But at this stage, we can't say that because of the one customer slowing up.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Okay, great. And then John, when I look at the third quarter and typically your second half, you tend to see seasonal strength; obviously the second quarter was abnormally strong seasonally, but it seems like at the midpoint of your guidance, you're kind of anticipating flat sequential quarter. If I look at fork truck orders, up double digits. Purcell, I mean obviously, you had the drag in the second quarter. So why aren't we seeing the normal seasonality where you normally see the pickup in the third quarter relative to the second quarter and into the back half of the year. Is there something that you're seeing demand wise? Was it just a function of mix? Help us with why that would be flat sequentially.
John D. Craig: Well, I think, the first thing you said, Michael, is starting off a strong second quarter. Let's back up a little bit, go back to our first quarter. We came in at the low end of our guidance at $1.02. And at that point in time, I said the reason in part that we're at the low end of our guidance is because we have some orders that pushed out of Q1 into Q2, and we expected to have a stronger Q2 than normal -- and which we have, coming in at $1.06. It's very rare that we would see higher earnings in the second quarter as compared to the first quarter. So the comp, when you start looking at third quarter and compare it to second quarter, the second quarter comp is higher than normal. Now that being said, when you take a look at where we should be, we should be much higher than $1.06. I think we ought to be in the $1.20 to $1.25 range. So why aren't we there? And the reason really comes back to that one major customer in the U.S.; it's not only enclosure business that's been hit, it's also the battery business. They have virtually cut back on CapEx spending for whatever reason, and we hope that turns back on. But I can tell you, if we were running at normal rates with that 1 customer, we would be north of $1.20 share in guidance. That's the big hit that we're really seeing take place in third quarter when you compare it second to third quarter.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Okay, great. And then just final question. Obviously, seeing lead really reverse here from where it was. I think it was pushing $1.05 coming out of your second quarter and sort of south of $0.90, I think this morning when I looked on the LME, When should we start to see those lower lead costs again, start to filter through? Is that probably still the first quarter next year, if -- assuming they stay down here, we start to see that in the fourth quarter?
John D. Craig: Fourth quarter. Fourth quarter we should start to see it. If things stay where they are right now, our lead cost fourth quarter, compared to the third quarter would conservatively be flat, but we actually think that the lead cost will be less in the fourth quarter. And by the way, you may have read that we do have hedges out there that are offset a little bit where the LME is. I'm taking those in account when I make that statement.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Right, but then at some point, as you roll those off and I presume you roll new ones on as you typically do forward at the lower pricing. By the first quarter, you should really see the full impact assuming lead prices stay down here.
John D. Craig: If lead prices -- if your assumption is correct, Michael, I will agree with your comment. We'll have to see where the market goes, but if it stays down at the $0.90 range, yes, it should be a nice pick up for Q1 and it should be a pick up for Q4.
Operator: Our next question comes from the line of William Bremer of Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Let's touch base on the EU and China. Could you give us a little bit -- little more granular color of what you're seeing currently there in terms of their build-outs or are things sort of moderating back in the EU?
John D. Craig: Would you read all the stuff in the newspaper about what's going on in the EU and the concern, fortunately, our numbers don't really reflect what you read in the newspaper. In fact, when you take a look at our motor power business -- well, total business, as we mentioned earlier, is up about 4% in Europe, Middle East and Africa. And when you look at the motive power business, its down just a little bit, basically flat. You look at the reserve power business, it is really up. I mean, it's up double digits for us. And the primary reason for that is that we're seeing build-outs taking place in the Middle East and Africa. We're also seeing replacement business, which has picked up and we're also starting to see 4G. Now, one of the things I want to emphasize on 4G, we are starting to see it. We believe that looking forward, that what you're going to see is more upside in the 4G as it really starts to take off. We're just at the beginning of the deployment of 4G in Europe today. So I think there's going to be some upside there. Now when you look, your next question was about the Asia market. With the exception of China, I think things are going pretty well. China for us is not going as well as we would like to see it. And when you look again at the volume in Q2, compared to Q2 last year, total volume is down 9%. And when you look at where that is, that is down in reserve power, but motive power in the Asia market force is going tremendous right now. It's really going well. But it's not offsetting the total in the reserve power. Now what's the problem with reserve power? The problem with reserve power in China is the telecommunications industry are deploying 4G right now, and the price they're willing to pay for batteries is very low. And we've walked away from a lot of that business. So what we have to look at is doing a competitive analysis and looking at the other battery manufacturers. If you compare our battery to their battery, our battery will outperform their battery, but the reality is the market is not willing to pay for that. So we need to come out with a product that performs more like what the market will buy, and put that product in place to go after that telecom in China. Now, keep in mind, I'm not saying that we lower our prices and keep our costs the same. I'm saying we lower our pricing and lower the cost and increase the margins on the business. That's one of the action plans that we have in place moving forward for the China market.
William D. Bremer - Maxim Group LLC, Research Division: And the timing on that, John, for a new product launch?
John D. Craig: We're probably looking about 6 months. It's not going to happen overnight.
William D. Bremer - Maxim Group LLC, Research Division: Agreed. Okay. Let's touch base -- I know military defense is quite small, but given what the environment is like now, are you seeing a pickup?
John D. Craig: Well, we really are. We're actually selling more blocks this year than we did last year, surprisingly enough, and I say blocks of batteries for tactical vehicles. But as Mike alluded to, or stated in his opening comments, when you take a look at the Americas, the operating earnings percent, which was at 15.3% last year in the second quarter, down to 12.9%, one of the big reasons for that drop was the pricing drop with the batteries for tactical vehicles. What the military has done is they have another source that they brought in and that other source had a much lower price on their batteries, we had to come down. Volume is up, pricing is down, net-net, obviously, we would like to see the higher price that we had, but we weren't able to hold those prices long-term. And Bill, you followed the company for a lot of years. And I stated this many, many years ago, 2 to 3 years ago, that the sustained 15% in the Americas is going to be darn tough to do. Okay. There comes a point where you can't push it higher. And what we said at the time, the way to offset that is we've got to get Europe turned around, we've got to get Europe north of 10%. So when you look in this quarter, last year at 15.3% in the America's, this year 12.9% in the Americas operating earnings, but then you look at Europe, 6.8% last year, 11.2% this year. Net-net, last year second quarter our operating earnings percentage was 11.1%, this year it's 11.7%. Now that being said, we're hoping that we get the Americas back up with some other areas. There are some other products and things that we're working at. Are we happy at 12.9%? No, we're not. Are we going to work to get it back to 15%? Yes, we are. That's going to be a tall task to do that.
Operator: Our next question comes from the line of Tim Mulrooney of William Blair.
Tim Mulrooney: So you reported 6% organic growth in the reserve business in the quarter. That's a pretty solid number, especially given the fact that the telecom customer you referenced, that spending hasn't really come back. Can you just talk about what did contribute to the strong organic growth in reserve for the second quarter?
John D. Craig: Europe. Europe is the big one. And that's what's really jumped up. We don't have the acquisitions in that number, but Europe has come through very strong for us.
Tim Mulrooney: Okay. That was easy. And then John, you gave fork truck orders, I think, for -- was that July to September were up 13%? Is that a year-over-year number?
John D. Craig: Yes. it is.
Tim Mulrooney: Could you give a little bit more detail, maybe walk through what it looks like for the 3 geographies during that time frame?
John D. Craig: Yes. I am going to pull the rich [ph] data up here, I don't have it right in front of me. But it will take 2 seconds to get it, I can give you that and we're looking at 3 months. And when you take a look at total of the Americas, it's up 3%. When you look at Europe, it's up 15%. When you look at Asia, it's up 17%. Globally, it's up 13%. Now one thing I'm going to caution you on, in Europe. There is something that's taken place here, that's kind of an anomaly. And you look at the fork truck orders being up that much. What happens is this, that the comps, when you look at -- Europe wasn't buying anything in new fork trucks. I mean it went away off. At point go back to 2008, 2009, the market was down about 50%. So what people were doing, they were cannibalizing fork trucks. In other words if we have 3 fork trucks, we'll take the parts off a third fork truck and run 2. What happened during that period of time, the batteries they were buying, the replacement batteries were very, very high. Now with the fork truck business being up, the new fork truck business, the replacement business has been lowered, okay? Because those batteries are going to new fork trucks. So I don't expect to see the same type of growth, the 17% in Europe. I don't expect to see that in our battery sales. I think it will be lower than that.
Operator: Our next question comes from the line of John Franzreb of Sidoti & Company.
John Franzreb - Sidoti & Company, Inc.: John, you walked out into my question. I remember the numbers being up substantially starting a year ago in motive Europe. I suspect that the outlook going forward would be flat to modest growth, is that your expectations? And against that backdrop, does it still pay to be so aggressive on pushing though pricing and giving up share?
John D. Craig: Well, we are not really giving up share, John. And you'll recall from a couple of years ago, when we started the pricing side, I told our people in Europe, that if you lose 10% market share and get the pricing, the numbers say that you lose a 10%. You also recall, either our last conference call or call before that, our estimate was that we lost about 1%. I think that -- and obviously, I'm not going to go into a lot of details on forward about pricing on the call like this, where you got competitors and customers who're listening at it, but I think what we are going do is the same thing we have done all along. It's where is the optimum point to be on pricing relative to capacity? And we need to continue to analyze that, and make the decisions. And what we've done in the past, we have said, "Hey, the pricing is more important than the volume." And you see the results, it's there.
John Franzreb - Sidoti & Company, Inc.: Okay. And it seems to me, if I look at the numbers correctly, that you borrowed to repurchase stock in the quarter? Was that the case, and what lead to that decision?
John D. Craig: I'll turn it to Mike. Go ahead, Mike.
Michael J. Schmidtlein: Yes, so typically, we would utilize our U.S. credit facility for those -- to borrow that money. Of the cash we have on hand, a large amount of it is not inside the United States, which is pretty normal for a lot of major corporations. So, yes, we did borrow the funds. And we did it because we thought the value of those -- the stock or at least its market price was below the intrinsic value of the company. So the additional $60 million authorization that we announced yesterday, I think is further evidence that we continue to have that belief.
John Franzreb - Sidoti & Company, Inc.: Mike, how much of your cash is domiciled overseas?
Michael J. Schmidtlein: Let's call it 90-plus percent.
John D. Craig: $230 million or the $240 million, I think it is. It's almost all of it. It's a very large percentage.
John Franzreb - Sidoti & Company, Inc.: And I guess, Mike, while I have you, could you just walk through the sizeable stock-based comp that you had in the quarter, and how it impacts SG&A going forward?
Michael J. Schmidtlein: Okay. So we announced that we accelerated the recognition of the vesting benefits that are in the stock grant plans for our CEO and our Executive Vice President. A little bit of background. Members of the original management buyout team from the 1999, 2000 era, John and Dick are the last 2 of that group. And largely as those members have retired, they've been given vesting on a fresh basis by the compensation committee. The comp committee determined or elected several years ago to formalize that feature in their plans. So grants that are issued, let's say, May of this last year, just 5 months ago, they'll get the proceeds from that 3 years ago. But the plans say that they vest and they have the right to it if they stay for just 1 year, and the logic behind that it is, as you get closer to your retirement age, under the 3-year cliff vesting, the plans become worth less to you if you're not going to be around just because you intend to retire, which hopefully we all one day do. These plans become worthless, so as an incentive to keep executives here through their full retirement date, that acceleration feature was there. Now given the ages of the 2 participants, it kind of came to the point, years ago, or when it was first introduced, it really didn't seem to make much difference, because we were talking about events that were many, many years out. You fast-forward 4 years later and you say, now is the time to recognize that. So we've accelerated and we've caught up for all the grants, the last 2 years worth of grants, so there's 3 grant years out there. We fully expensed in this quarter all the grants that were issued before this year -- before 2014, so those were 2 grants, which got fully expensed and we've expensed half of this year's grant. Now most of them -- and going forward with every succeeding year, that grant will get -- for those 2 individuals, will get expensed in the year of that grant. So future years, as long as they are both still working for us, they will still get -- exclude this one acceleration, the cost that will hit our P&L will be broadly the same. The benefit of this acceleration is going to occur -- whenever that might be, 1, 2, 5, 6 years out for the periods which would have normally gotten that vesting, let's say the 2 years after they had retired, where we would have seen -- we would have continued on with our 3-year amortization and those years postretirement for them would have been charged. So they are not -- that's when the benefit is going to occur. And that's years out. And as you duly noted, John, they are non-cash, although it is still a piece of the pie as you recognize. But for those others, I just want to make sure everybody recognizes, we are not granting any additional shares and all we are simply doing as a company is accelerating the recognition of that expense and that's essentially it.
John Franzreb - Sidoti & Company, Inc.: Great. That was helpful. And John, back to you. Normally Q4 is big telco spending quarter. but you didn't really kind of convey a lot of confidence that the North American customer is going to come back by Q4. When do you -- when would you think orders would kind of materialize that they would suggest a sequential improvement in the offing? Or do you have some kind of intelligence that suggests they're just not going to be spending any time near term?
John D. Craig: Well, first off, I didn't try to do, say anything about fourth quarter at all, because as you know, John, we want to go out 1 quarter, and that's third quarter and we talk about that. Now I'll go a little bit further than that and say that historically, our fourth quarter is always our strong quarter, or usually our strongest quarter. So whether that trend repeats itself this year or not, we'll have to see. Personally, my belief is it will. History states. History will repeat itself here. Regarding that one major customer, I can't speak to when they're going to come back. I don't know. We really don't know. All they've said, is that they will spend their capital this year, and they've implied it will come back. But I think, and you noticed for a lot of years, we tend to be very conservative on what we do here. And if we're going to have a surprise on this, I want to have a pleasant surprise that it came back. In our forecast, we're not putting any major upside into it with that 1 particular customer.
Operator: [Operator Instructions] And our next question comes from the line of Sven Eenmaa of Stifel.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: Just couple of quick questions. First, I mean, you guys had a very strong organic growth in Europe and Americas this quarter. In terms of the -- and that obviously, does not include that 1 telecom customer. What are your expectations in terms of year-over-year organic growth for the next quarter?
Michael J. Schmidtlein: I would say that the comps, if we are comparing year-over-year for Q3, Q3 of last year was a very good quarter. So I would say that you're going to see pretty comparable results on an organic basis year-over-year.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: Got it. And I guess, only headwind there was -- Asia was very strong, right -- last year, so that will be a negative number in organic terms. Is that the fair way to think about it?
Michael J. Schmidtlein: Yes. We did Asia, more specifically I believe Japan was very good about this point in time a year ago. It's going to be -- Asia will be down a little bit from -- exchange rates are going to be putting pressure on us, which we try to distill those out, because they're mostly noise. Because they affect both revenue and expenses and the net impacts only on your earnings. But I would say broadly, if you think about it, we're guiding to a midpoint of $1.06, we had a second quarter of $1.06, the third quarter of a year ago was $1.07 with more favorable currency set-up. so I'm going to say broadly you're looking at a fairly comparable situation.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: You mean comparable in terms of the organic growth in the September quarter, similar to September quarter or just revenues being about flat year-over-year?
Michael J. Schmidtlein: Well, I think you'll see a mild improvement in organic growth from Q2 of this year to Q3. I think as you compare it to a year ago, it's probably going to be broadly flat.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: Got it. That's very helpful. And in terms of that 1 telecommunications customer, have you disclosed how big of a share of your total revenues they are?
Michael J. Schmidtlein: Well, we don't disclose because we don't have any customers that exceed 5% of our revenue, or we have not to-date. So we haven't identified that customer. I think it's most of you can make a very educated guess as to who that is. But the point I want to make is we probably have a half a dozen customers that are, call it 4-plus percent, but we feel very comfortable and we think we are well-diversified, broadly-diversified in our customer base, so that when you have an incident like this, it's a headwind, but it's not a take-down impact.
John D. Craig: When you look at the organic business year-on-year, as we said earlier, earnings are up about 19%. And that's obviously, good news, but what we spent with the investment in Purcell, and what we anticipated hitting, we have not hit, because of this one major customer. And when I look at the percent on Purcell's business -- as I said earlier, it's about 50%. It's a big, big number on that business. What we anticipated hitting this year, if the Purcell, if this one customer would have been where it is, as said earlier, our guidance on this quarter wouldn't be midpoint of $1.06, it would be $1.20 something. That's how big of hit because of Purcell that we're seeing. Now again, I want to emphasize, we believe that we come back, we don't know when, but I think what's more important, what's much more important to me is the diversification on the business that we are working and the customer diversification. And as I mentioned earlier, over a couple of hundred million dollars in quote activity that we have right now. As I said earlier, in the short-run, I'm very disappointed in the enclosure business. In the long run, I'm still very high on that acquisition.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: Got it. That's good to know. And in terms of that one customer, the 1 last question on that front. Is that your sense that this a replacement business on their existing infrastructure or they're just delaying additional kind of build-out.
John D. Craig: Well, we really don't know. We really don't know. There is a lot of -- there's been articles written on it, and a lot of different reasons have come up. But I'm not going to comment on it because I don't know factually, and I don't want to throw supposition at it. All I know for sure is that our battery sales to that customer are down, and we have not lost that business to competitors. They have in fact, just slowed up. And our sales on enclosures are down. And we do not believe that they're buying enclosures from other. They're just not buying. And by the way, I would add that other companies that are in a similar situation, dealing or selling to that one customer, they have reported publicly the same information we have that their business has been hurt, because of the lack of CapEx spending with that customer.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: Got it. And the final question is, I'm not sure what you guys provided, but what are your expectations in terms of cost margin performance in the third quarter?
John D. Craig: Well we don't provide that information on the third quarter.
Michael J. Schmidtlein: We actually -- well, if you looked at my script, I did say we broadly expected to be between 25% to 26% rate. So I think you'll see a little bit of pressure on margins from the fact that lead will be going up sequentially. But I don't think it's going to be a tremendous impact, but I did note that in my script.
Operator: Our next question comes from the line of Howard Rosencrans of VA.
Howard Rosencrans: Two questions. One is regarding -- it's a little tough to quantify the impact of lead on the third quarter, you had the suppliers which ran -- You had, I guess, lead is probably $0.07, $0.08, maybe $0.05, $0.07, $0.08, sequentially, and higher, or at least, it was during the summer, which is what leads into the third quarter, and maybe $0.05 higher year-to-year again, referring to the inventory that you had during the summer. So if it impacts you to the extent of $0.07 over the course of the year, and $0.02. I don't know, at the end of the day, I get to about a $0.10 as the negative lead impact in the third quarter. That was one question, and then I have a quick follow-up.
John D. Craig: Okay. Let me just give you the bottom line, and I'll turn it over to Mike to put a little bit more color behind it. When you look at second quarter and third quarter, the impact on lead was about a $0.01 or $0.02 in the third quarter. We look at fourth quarter, even with the hedges that we have, if the market stays, the LME stays where it is, we will have a favorable fourth quarter in lead, compared to third quarter. As you may have read in the Q, we have, I think, it's 98.4 million pounds of lead, and hedged at $0.98. And when you run through the whole thing on this thing and look at where the market is today, the bottom line P&L impact Q3, it's $0.01 or $0.02 headwind compared to Q2, and in Q4 compared to Q3 it will be flat to slightly positive. Mike, you want to pick up that.
Howard Rosencrans: That's great. Let me just completely change gears. John, you put out some numbers, I guess, it was in April, May of a year ago talking about what your 5-year plan was. Asia, as you openly acknowledged, has not performed or specifically, the most important region there has not performed. How do you feel about your ability to execute on the 5-year plan, which if I have the time line right, would be -- clear me up on it, F-18 or F-19 and it basically called, if you go through the math for I don't know $7 or $8 in EPS?
John D. Craig: Well, I think the answer to your question, I'm going to go back to a meeting we had about 2, 2.5 weeks ago, where the top 33 executives in the company around the world were here in Reading, Pennsylvania. And as a team, we looked at that and we analyzed it, and we said where are we on this thing? And we understand that we have to do more in acquisitions. We understand that the organic growth has to come in place. Look, I think the bottom line to it is, right now there are some things that's taken place, and I'll cover those in a second -- things we've got to be focused on. We are in this for the long haul. And it's kind of an awkward situation to be in, because when you see the kind of growth we've had year-on-year, we are very pleased with it. But when you compare it to where we want to be, genesis you question at $4 billion, we've got to goose this thing up a little bit. We know that. I can tell you at the end of that meeting, we had some specific action plans of things that we have to do to get this up. Now in the short run, what are we focusing at? First off is the enclosure business. As I said, we have got hundreds of millions of dollars in quote activity out there, but quote activity doesn't take money to the bank. We need to convert those into hard orders, so we're pushing very hard on doing that. The second thing we need to do and I touched on it, was on our China telecommunication business to get another product in place that's more competitive to what the market wants. And the third thing on it is to continue the work that we're doing to find work that we're doing on new products, as an example with the OptiGrid, our thin plate pure lead that we mentioned in a couple of conference calls ago, or 1 year ago, putting that in motive power 2-volt cells in Europe. That's starting to take off. But the surprise, which is a good surprise, is the reserve power business wants that 2-volt thin plate pure lead product also. So new products are there. Our new charger line coming up is upside. Our nickel zinc product that we're working on right now, we have some upsides with that. The other thing I think we've got to focus on is buried in our numbers here, is we're going to a plant start-up right now in China. We're shutting down an old factory and moving over a new factory -- into a new factory. And we have seen some impact on having our products available in the short run because of that transition and managing through that. And finally, in the next thing or last thing I'll just comment on this. We need to continue to be aggressive on the acquisitions front, but always keep in mind that we are not going to buy for the sake of buying. If we miss a $4 billion target, because we couldn't find acquisitions that were good acquisitions, I'm okay with that. I would rather take in, not do bad acquisitions. We're not going to do bad acquisitions. We're very disciplined on this and we will continue. But make no mistake about it. At the end of that meeting, the top 33 executives around the world, highly focused, understand what we need to do, action plans in place, and we're pushing very hard to get that. Bottom line, we're not giving up on $4 billion in 2018, and 10% minimum operating earnings.
Howard Rosencrans: Would it be fair to say that the -- that an F-16 is a function of having the new product out in China that, that is potentially a game changer that makes that -- that gives us more visibility to getting to that big 5-year number? Or am I overstating the importance of that China product?
John D. Craig: Yes, I don't think that's going to be a game changer. I think a game changer is going to take 5 or 6 different things. It's going to be continue to do new products in Europe and the Americas, continue to work to get the 12% up to -- back to 15% on operating. It's a host of things. No one thing. There's no home run in this game. It's a bunch of little things that all add up to be a big thing.
Operator: We have a follow-up question from the line of William Bremer of Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Gentleman, just a quick one. You called out that Purcell, definitely was a little bit of a disappointment this quarter. Can you sort of give us an idea of the other 2 acquisitions, Quallion and UTS. How did they -- are they running ahead of schedule since overall M&A was approximately 6% of consolidated sales?
Michael J. Schmidtlein: Yes, I would say the 2 acquisitions, Quallion, the lithium-ion business located in California, north of LA and UTS, a Kuala Lumpur-based business with operations in Malaysia and Singapore. Broadly, I would say they are -- where we expected them to be. One case slightly ahead, the other case about where we expected. So but those, as you might recall, those are transactions that were valued in the, call it, $30 million range. And Purcell, even if you combine those other 2, Purcell's twice that combined size. So Purcell is the one that pushes the boat towards the M&A activity for us.
William D. Bremer - Maxim Group LLC, Research Division: I agree, Mike. Could you provide us the contributions for the 2 -- for the quarter. I realized more, just to get a sense?
Michael J. Schmidtlein: Well, what I would say is, collectively, as John said, when you add them all up they were mildly accretive, and I think that's a fair statement to make is that, there wasn't one that is wildly accretive to cover up for one that is deeply dilutive. They're all probably mildly accretive.
Operator: I'm showing no further questions in the queue at this time.
John D. Craig: Okay. Well, thank you, everyone, for taking the time to call in and your interest in EnerSys. And we wish you, all, to have a great day today. Thank you.